Operator: Good morning and welcome to EnWave Corporation's First Quarter Fiscal Year 2021 Earnings Conference Call. My name is Donna, and I will be your operator for today's call. Joining us for today's presentation are the company's President and CEO, Brent Charleton; CFO, Dan Henriques; and Executive Chairman, John Budreski. As a reminder, all participants are in a listen only mode and the conference is being recorded. [Operator Instructions] Finally, I would like to remind everyone that this call is going to be made available for replay via the link in the Investor Relations section of the company's website at www.enwave.net. Now, I'd like to turn the call over to EnWave's CEO, Mr. Brent Charleton. Thank you, sir. Please go ahead.
Brent Charleton: Good morning to everyone. Before proceeding, I would like to make everybody aware that the information that we are about to present, contains some forward-looking information. It is based on management's expectations, estimates and projections. These statements are not a guarantee of future performance and involve a number of risks, uncertainties and assumptions. Please consider the risk factors in the filings made by EnWave on SEDAR when reviewing this information. Also, all amounts will be in Canadian dollars unless otherwise noted. In an effort to provide improved transparency we arranged for this, our first-time quarterly conference call. We plan to continue holding these informational calls in coming quarters, as we believe they provide an appropriate forum to provide complimentary information regarding our business strategy and its results, by answering questions posed by our stockholders. In this call, we will refer to our patented REV vacuum-microwave technology business unit as EnWave, and our operating subsidiary that produces REV-dried cheese snack products as NutraDried. I'll begin today's call with an overview of EnWave's corporate progress in Q1, and our plans to stimulate growth in our business through the rest of fiscal 2021. Following this update, then our CFO and newly appointed COO of NutraDried, will summarize our consolidated financial performance in Q1, as well as provide an update on the restructuring and material changes made in NutraDried's operations. In September 2020, the significant slowdown we experienced earlier in the year due to COVID started to reverse. In Q1, we experienced a material uptick in the number of new commercial opportunities for our REV technology. Many of the projects that were put on hold by qualified operators are now live again and many are realistically expected to close in fiscal 2021. We're seeing repeat orders from existing royalty partners, and we have several royalty partners that are contractually obligated to make additional purchase orders this year to retain their license exclusivity. In short, we are bullish on EnWave's business development prospects. From the beginning of fiscal year 2021 we started last October 1st, and to the date of this report, EnWave has signed three new technology evaluation and license option agreements. The first were the U.S. cannabis company, the second was SunRhize Tempeh, and the third was Sutas Dairy of Turkey, which was announced this morning. Each of these companies are working closely with our food science and engineering teams to optimize product and process development. We aim to convert each of these research agreements into royalty bearing license arrangements within the fiscal year. We also signed three new royalty bearing commercial licenses, two with companies that are commercializing new REV-dried food applications. NuWave is focused on commercializing shelf-stable baked goods, including cheese, cake and donuts. We are working with NuWave to confirm the purchase of both a 10-kilowatt and 60-kilowatt machine. EnWave has received two nonrefundable deposit payments from NuWave to-date. Nippon Foods is using REV to produce premium instant ramen noodles and have purchased a 10-kilowatt unit for initial commercial production. These projects have opened up to new verticals for REV technology, and we're actively working to secure new additional licenses for these applications with even more operators. The third license was signed with GentleDry Technologies, our first royalty-bearing commercial license, allowing the drying of cannabis in the U.S. In Q1 EnWave secured a 100-kilowatt purchase order from Patatas Fritas, a snacking company located just outside of Barcelona, Spain. They launched a line of premium cheese snacks under the brand name Just This. With the addition of 100-kilowatt machine, they will have significantly increased manufacturing capacity by our fiscal fourth quarter. We love it when our royalty partners demonstrate commercial success using 10-kilowatt machinery and then purchase large scale REV manufacturing capacity. And we've worked closely with our royalty partners to optimize their product portfolio to justify the scale up to large scale REV equipment. We also sold an additional four 10-kilowatt machines, all repeat orders from existing partners. Two additional machines were purchased by Nanuva Ingredients in Chile, one additional machine by Responsible Foods in Iceland, and a second 10-kilowatt machine to the U.S. Army. The U.S. Army plans to place the second machine at an industry partners facility for the development of close combat assault rations. If successful, the industry partner will sign a royalty bearing commercial license with EnWave. EnWave is currently in discussion with this industry partner and we are optimistic about the project moving ahead. Lastly, we sold a pilot pharmaceutical REV machine to GEA Lyophil, our joint pharma development partner. GEA will receive their pilot unit this summer, and they've already lined up several major pharma prospects to test our technology in Germany. We're receiving many inbound inquiries from pharmaceutical companies after Merck published a research article about the advantages of using our freezeREV process. The article concludes that freezeREV is a viable manufacturing alternative to Vial-Based Lyophilization for vaccines and biologics. Data from the study shows that REV reduces drying cycle times by 80 to 90%, while maintaining productivity and stability when compared to lyophilization. We will continue to collaborate with Merck and GEA, going forward, to monetize our tech in the pharma space. The market for pharmaceutical lyophilizer is estimated to be about CAD1.8 billion per annum. During Q1 2021, we successfully completed the remote commissioning of four 10-kilowatt machines and had a total of six customized machines under fabrication at various stages of completion. We successfully commissioned two 100-kilowatt REV machines in December 2021; one in Peru, and another in Costa Rica; and we anticipate starting to generate royalties from these two systems in Q3 2021. We also delivered the two 120-kilowatt machines purchased by Aurora Cannabis to their facility in Alberta, and the installation is pending the readiness of their operations. Of our 41 existing royalty partners, about 80% are food manufacturing companies. I see this percentage decreasing as our technology is now proven to offer holistic processing solutions for cannabis companies. REV's value proposition has significantly improved in the past two quarters due to the development of our Terpene Max, which retains more terpenes and cannabinoids than the incumbent room rack drying methods. We've proven this in a commercial setting on large scale REV system, and had the certificates of analysis from third party labs available to compel skeptical traditionalist in the space. REV's fast and flexible processing and smaller footprint presented undeniable value proposition for drying in the cannabis space. We've also developed GMP cannabis machinery to satisfy LPs that are focused on medical cannabis applications. Currently, we are in discussions with several cannabis manufacturers located across the U.S., Europe, Australasia and Canada, and we expect to close new license agreements in fiscal 2021. The growing positive sentiment in the U.S. towards federal and additional state legalization bodes well for EnWave. It's too early to tell, but Terpene Max just might be a game changer for the global cannabis industry. To amplify EnWave's selling efforts, we have been diligently expanding our third-party partner distribution network. We now have a dozen companies generating qualified business opportunities for us across the world, with covered in Turkey, Japan, Europe, Australasia and Chile. With the ongoing travel restrictions, these relationships are critical to support our efforts and they are starting to bear fruit. The TELOA announced this morning with Sutas from Turkey, was generated by our sales representative in that region. All third-party channel partners are paid commission on revenue generated from their efforts, which allows for EnWave to keep our fixed selling costs at an appropriate level. The highly anticipated startup of our REVworx toll processing facility for food products is on-track for the spring of this year. The core offering from REVworx is Vacuum Microwave Drying as a Service, but we will also provide several pre- and post-processing steps to simplify the process for clients to bring rev dried products to market. We are now anticipating the construction permit from the City of Delta, and we are concurrently planning to obtain facility certifications including SQF, ProcessSafe, or [indiscernible] course CFIA licensing for export of REV-dried products internationally. SunRhize Tempeh has an option to secure up to 15% of manufacturing capacity at REVworx before the end of March, and we are in detailed project analysis with many more companies to confirm several new REVworx clients shortly after startup. Our total planned initial investment in REVworx is approximately CAD1.5 million, and we have plenty of cash for this and will scale as the opportunity grows. Our strategic priorities moving forward this year includes generating material new business in the global cannabis industry through the implementation of our Terpene Max process, generating new equipment contracts in both new royalty partners and repeat orders from partners seeking additional capacity, successfully starting up REVworx, and continuing to leverage our sales distribution partners to materially increase the number of commercial licenses granted, and REV machines sold. And lastly, turning now to performance of NutraDried, which Dan will speak more about in a few moments. Now with that, I'll turn it over to Dan Henriques, EnWave's CFO, to go through the Q1 financials.
Dan Henriques: Thanks, Brent. Good morning, everyone. And thanks for joining us on today's call. We'll take a few moments to review the Q1 2021 financial results. Please note that the figures I'll be going over today can be found in our press release from Friday morning, and all amounts are in Canadian dollars, unless otherwise noted. Consolidated revenues in Q1 were CAD7.5 million, of which CAD2.7 million came from EnWave's technology business, and CAD4.8 million came from NutraDried's product sales. Overall revenues are CAD1.1 million lower in Q1 2021 relative to Q1 2020, with EnWave reporting more revenue in Q1 2020 per machine sold to Canadian cannabis companies. EnWave's revenues are still mostly from REV machinery sales and rentals, with royalties representing 12% of our segment revenues. EnWave reported third party royalties in Q1 2021 of CAD320,000, which includes annual exclusivity payments that come due each December, as well as royalties from cannabis drying. Our royalties are a function of the amount of REV-dried products sold by our royalty partners. And with recent installations, as well as our pipeline of new equipment orders, we expect our recurring royalty base to continue to compound over the coming quarters. NutraDried's revenue was CAD4.8 million for Q1 2021 compared to CAD4 million for Q1 2020, a lift of CAD800,000. Overall revenues for NutraDried were improved in Q1 2021 due to additional products delivered to Costco for a national promotion executed in October. Our distribution at Costco has never been permanent, and we depend on regional buyers to bring in the product for rotations. Our strategy at NutraDried is to grow distribution in the retail, grocery and convenience store channels for Moon Cheese, as well as to pursue and confirm new private label and co-manufacturing opportunities. We recently confirmed new distribution and several new retailers, including Wawa and Food Lion in the U.S., as well as many smaller regional chains. We have also recently made presentations to several major retailers that were optimistically insecure over the coming months. Costco continues to present itself both as an opportunity and a challenge, and we've not sustained rotations at levels we had in 2020. NutraDried also recently launched a new line of snack mix products called Protein Blitz Mix, which is a seasoned cheese and nut combination that hits a number of consumer trends, including keto, high protein and low sugar preferences. The product had soft launch on our website and on Amazon in the U.S., and will officially launch in the spring of this year with retail distribution targeted. We anticipate this product will be complimentary to our Moon Cheese lineup, and will not cannibalize existing sales, thus providing incremental revenue contribution. As previously noted, we plan to expand the revenue streams at NutraDried by securing self-distribution opportunities as well as private label co-manufacturing using Rev. We recently secured a co-manufacturing contract with a major CPG company to supply bulk cheese and are focused on securing new non branded product opportunities to leverage our installed REV capacity. Our consolidated gross margin was 22% for Q1 2021 compared to 37% for Q1 2020. The margin compression experienced in the quarter was due to higher trade spending at NutraDried for the product shipped to Costco on the Buy One Get One promotion. EnWave's gross margin was 37% in Q1 2021, and we continue to make major improvements to our margins, building up the cost reductions from 2020. The growth and royalty revenue paired with a lower overall machine fabrication costs gave us greater operating leverage. Our plan to scale machine manufacturing, EnWave has been built around increasing the use of outsourced fabrication to keep our fixed overhead costs low. We have the capacity to continue to deliver the anticipated machine order pipeline for fiscal 2021, without needing to substantially increase our manufacturing overhead. NutraDried's gross margin was 15% for Q1 2021 and the compression reflects the additional trade spending on a heavily discounted Costco distribution during the quarter. NutraDried can deliver much better margins when the manufacturing plant is operating at higher capacities. For the remainder of fiscal 2021, we're going to source new channels and co-manufacturing opportunities to leverage the installed plant capacity. If successful, will deliver better cost absorption that will ultimately improve margins for this business unit. We believe there is room for us to grow distribution of Moon Cheese branded products while supplying non-branded product into the marketplace. The best outcome for EnWave is that REV-dried sheet products win greater market share over other forms. This is one of our highest priority for NutraDried, as we complete the realignment of this business unit and embark on the next stage of NutraDried's growth. Our SG&A expenses for Q1 2021, reflect the benefit of the cost containment measures implemented by EnWave during last year and remain a core tenant of our operating plan. We reported G&A expense of CAD1.1 million for Q1 2021 compared to CAD1.7 million for Q1 2020, a reduction of 600,000. We implemented a cost containment planet at EnWave at the end -- of the onset of COVID-19 and reduced expenses in a number of administrative areas, such as legal, professional fees, investor relations, and other non-essential services. And this will continue into fiscal 2021. We previously told you that we were serious on cost control, and here it is in action. We reported sales and marketing expenses of CAD1.5 million in Q1 2021 compared to CAD1.9 million in Q1 2020, a reduction of CAD400,000. The majority of sales and marketing expense in Q1 2021 was attributable to sales and marketing cost of NutraDried related to packaging improvements, paid marketing, influencer campaigns and other promotional activities. With the recent changes in management there, there will be a renewed focus on disciplined spending in these areas and we expect to achieve meaningful expense reduction starting in March 2021. The full benefit can be expected by Q3 2021. We will continue to operate with strict control over SG&A expenses of both EnWave and now NutraDried. I also believe that once the expense reductions are complete at NutraDried, then we'll be able to continue to lower our SG&A run rate for the balance of the fiscal year. The changes made to the marketing function at NutraDried are already substantial. I'm confident that we now have the right operating cost structure in place that will allow us to scale both sides of the business without increasing SG&A in the near term. The company received CAD325,000 of government assistance reported as Other income from stimulus programs launched in response to the COVID-19 pandemic. This relates to subsidies claimed by EnWave under the Canadian federal government's wage subsidy -- subsidy programs. At EnWave we turn over all the stones. Our adjusted EBITDA, a non-IFRS financial measure, was a loss of CAD911,000 for Q1 2021 compared to a loss of CAD743,000 for Q1 2020. We will realize the benefits of the restructuring at NutraDried completed in February to reduce SG&A costs in Q3 and Q4 of 2021. We expect to be able to grow the top line at NutraDried with tight controls over expenses, with a target of returning the business unit to profitability. The EnWave's business unit delivered a positive adjusted EBITDA in Q1. Our balance sheet and treasury position at the end of Q1 2021 remain robust. We have the necessary capital to complete the build out of the REVworx tolling facility that is underway and scheduled for completion in the spring. Our cash position was CAD17.4 million at December 31, up from CAD14.2 million at the close of Q4 2020, an increase of CAD3.2 million. We generated cash flows from operating activities of CAD4.2 million in Q1 with a large portion of that coming from liquidating the high inventory position at NutraDried. Our net working capital was CAD22.2 million, and our balance sheet is, in practical terms, debt-free, except for our facility leases and a small low interest COVID-19 relief loan received by NutraDried. With that, I'd like to turn it back to Brent, for some closing remarks.
Brent Charleton: Thanks Dan. EnWave is off to a great start this year and we are bullish about our prospects. We will continue to run lean and capitalize on our growing market opportunities. Generating positive EBITDA is a critical focus for us and, of course, continuing to build out our royalty generating REV machine base. We've taken aggressive measures to reduce the fixed cost structure at NutraDried, to better position our operating subsidiary for return to profitability. We are confident that these measures will reward us handsomely in the future. And we've fiscal 2021 targets include closing five large scale REV machines and 12, 10-kilowatt machines and securing anchor clients for REVworx, after a successful startup. Today, we've sold two large scale and seven 10-kilowatt machines. The core mission of EnWave is to build a long term, diversified portfolio of royalties, generated from the commercial success of different REV-dried products selling in multiple geographies around the world. The rate of adoption of REV products and REV technology is accelerating, and we're constantly finding products and opportunities where technology is superior. We now have a broad commercialization strategy that includes the REVworx toll manufacturing division. The startup of REVworx should accelerate the launch of REV-dried products to market, de-risk the adoption of REV technology, and ultimately lead to increase machine sales and royalty generation. We are highly confident that we have deployed the right strategies and tactics to maximize and accelerate the monetization of our market leading patented drying technology. And with that, I'm going to end my prepared remarks and open the call for your questions. Operator, please provide the appropriate instructions.
Operator: [Operator Instructions] If there are any outstanding questions at the end of the call today, the company will be happy to take them at e-mail at ir@enwave.net. Our first question today is going to be coming from Steve Hansen of Raymond James. Please go ahead.
Steve Hansen: Just the first one on the private label opportunity, Brent. How do you balance the effort to sell some of your private label business or opportunity? And how do you think about allocating that capacity relative to keeping enough capacity to also grow the branded side of the business?
Brent Charleton: At this point, Steve, all customers are good customers. So whether they be private label or distribution opportunities for the Moon Cheese branded snack product, we will take until we maximize out the manufacturing capacity currently at NutraDried. In times past, we'd actually turned down certain co-packing or private label opportunities because the strategy was to focus on building out the brand. And now that's changed. So I anticipate that not only through the sales team at NutraDried, but also through our sales force at EnWave, we'll be bringing new business opportunities for NutraDried to capitalize on in the coming quarters.
Steve Hansen: Okay, great. That's helpful. And then just a question on the REVworx side, you describe your progress there, which sounds good. You've already got SunRhize, it's, I think, you said has an option for up to 15% of capacity. How many customers should we think about as being optimal for that, that initial set of capacity you've got planned there? Is it, six, 10? I'm trying to get a sense for how much you allocate to larger players versus smaller ones.
Brent Charleton: Great question, Steve. So certain companies that we're discussing projects with currently could take the entire capacity of REVworx with one project. So it varies wildly when compared to an SME like SunRhize, who, again, up to 15% capacity utilization, would be more than sufficient for them to launch their new product to market. So realistically, REVworx could have as many as eight clients or as little as two to maximize our capacity. And then of course, we have to consider expansion rapidly.
Steve Hansen: Okay, great. And just one last one, and I'll jump in the queue. Just on the cannabis or Terpene Max opportunity, that clearly you guys are excited there. I'm trying to get a sense for, timing, size, and perhaps even a bit more on just the geographic mix. You described the U.S. and some other regions. It strikes me the U.S. is more the immediate focus. But can we just get a sense for what that pipeline actually looks like in the U.S., and just for any expectations you have over the balance of the fiscal year?
Brent Charleton: Sure. So the U.S. cannabis opportunity we have in the range of five to six qualified potential licensees that are considering the technology for both large scale and introductory 10 kilowatt units. We're quite confident that we should get some new commercial relationships in that space this year. Internationally, as I mentioned, we built out our sales representation network. Most specifically in Australasia, we have a specialist in the cannabis industry, who's lined up another five qualified leads to potentially adopt our tech with obviously Terpene Max, and having the data in hand, as well as having -- I'll call them evangelists -- from Tigard, who are more than willing to speak with any third party considering the technology, because they've been using it at scale for several months now. It provides us with a certain level of credibility. Whereas in times past, traditionalists in the space were compelled that their traditional means of room/rack drying was the only way to do it correctly. Well, now we're seeing that it's not, and then that's why we feel so strongly that our technology can be a global game changer as this industry matures.
Operator: [Operator Instructions] Our next question is coming from Neil Linsdell of IA Capital Markets. Please go ahead.
Neil Linsdell: One of the things you mentioned in the MD&A on the cheese price volatility. Could you talk a little bit about what your capacity is to increase your selling prices when you've got these kind of increases on the input costs?
Dan Henriques: Yeah, Neil, where we fit in the store, we're not in a position where we're going to be rapidly changing the sales price of Moon Cheese. There's enough margin in the branded product, where the minor fluctuations in cheese pricing is not going to materially impact our margin profile. When it comes to co-manufacturing and private label opportunities, we'll build in mechanisms to account for the fluctuations in cheese prices. We actually have started to employ some forward buying of cheese to lock in when prices are more advantageous.
Neil Linsdell: Okay. So that's well under control. On the restructuring at NutraDried, the cost savings, can you segment that by line item on your P&L, or you expect we should be taking that out of the model?
Dan Henriques: The majority of that is going to come out of SG&A. There's been reductions to some of the fixed manufacturing costs, but that's kind of proportionate to where the size of the businesses today. But you're going to see the majority coming out of the marketing, sales and marketing line, Neil, as well as the G&A line. We're doing a lot in the space on paid marketing that, quite frankly, wasn't really yielding the results that we had hoped it would. And so we're going to pull back and reprioritize those dollars.
Neil Linsdell: Okay, good. And is there anything else apart from what you've just mentioned, on the sales and marketing side on the strategy that's changed? Or is it really just about rightsizing the business and better execution?
Dan Henriques: It's no longer the sole focus of the Moon Cheese branded products. So we're going source co-manufacturing and private label opportunities. So that's a different selling approach, different channels, different customers. And so we're starting to put the infrastructure in place to go after those.
Neil Linsdell: And then just switching over to the REVworx. You talked about the -- so you've got the CAD1.5 million investment to create the REVworx, do you have some kind of guidance on what the revenue potential is out of that investment, and then what the next step as far as costs and revenue potential would be?
Dan Henriques: So we expect to start generating revenue from REVworx in the spring and into the summer, and obviously, it's going to build as we start to gain new contracts. But when you look at the facility, overall, we have the potential to generate in the high single digits of millions of dollars out of the facility as we get up to capacity, and we'll expand capacity as we need to service all the customers that want REV-dried products. The goal is to get as many products into the marketplace, so we're not -- while generating the margin from revenue out of REVworx is important, what's also important is getting new products incubated. So having additional capacity available to service, those newer opportunities, and even while they're smaller, can grow into larger ones and potential future machine orders for us.
Neil Linsdell: Okay. Add on the machine orders, I think you mentioned the large machine forecast or budget for this year was five large machines and 12 small machines. But you've already sold two and seven in the first quarter, is that correct?
Brent Charleton: To the date of this call, correct.
Neil Linsdell: Okay. So should you be increasing that forecast for this year?
Brent Charleton: Walk before you run, Neil, walk before you run. There's certainly upside to it, Neil. There's no question about it with all these deals in the pipeline. But conservative expectations, that's a realistic target. And I believe that there's a lot of potential for us to supersede that.
Dan Henriques: Yeah, let's see where we're at for our next quarterly update call. And at that time, maybe feel bit more comfortable upgrading.
Neil Linsdell: Okay. I'll ask you the same question in three months.
Brent Charleton: Sure, Neil.
Neil Linsdell: And then just lastly, can you just talk about, we're 12 months into this COVID impact here. It sounds like we have -- we've had a turn, you mentioned around September, when business started to get out of that kind of pause phase and started to ramp up. Can you just, I guess, go over the COVID impacts that has had on your business, you had with -- we had the travel restrictions, you managed to get around that, you've managed to work out a system. Is there anything still impacting your business that we should expect to kind of ease up over the next, say, six months?
Brent Charleton: What we believe to happen here is that the travel restrictions will continue to lighten, which will make obviously sending employees to complete commissioning and training far easier. Like you've noted, we have circumvented that, we had employees in Peru and Costa Rica as recently as last week doing additional training with our partners. Getting into Europe and down to Australasia will be critical for some near term PO opportunities. Other than that, the sentiment from the pipeline of prospects that we built out is very positive. People, or I would say companies are starting to feel far more comfortable operating within these circumstances. And so unlike, midpoint 2020, again, we're very bullish on the next year of growth for EnWave.
Operator: Thank you. Mr. Charleton, do you have any questions submitted via the webcast?
Brent Charleton: Yes. There are questions submitted. And the first one which we get quite consistently is, "When can we start thinking about a dividend for the shareholders from EnWave?" And response to that would be, after several quarters of consistent positive cash flow into the business. Having both business units profitable would be the ideal scenario to then consider instituting a dividend paying program. Or also considering the buyback of shares, we need to balance the pros and cons of each group of shareholders that we do have. But certainly, that is the goal of EnWave, is to get to the point where we are generating enough royalties to cover our overhead costs and excess royalties plus the margin on machine sales falls to our bottom line. And in that situation, we'll be able to determine what is the most advantageous way to reward our shareholders. The second question is, "What stage is the share repurchase at through NCIB? And what efforts are we considering to make in Asia on a business development front?" So on the NCIB, we had put in bid several occasions while we were not in blackout over the past few months, and it wasn't until last week, where one of our orders actually was filled, I believe was about CAD3,500 worth of value of stock that was repurchased within the dollar CAD1.30 to CAD1.40 range by EnWave. So we'll consistently be opportunistic, as we feel that our pipeline is again very, very strong. And when there's down ticks in stock price, we'll continue to take advantage of that. As far as our business development in Asia is concerned, of course, we have our ongoing partnership with Calbee, one of the biggest snacking companies globally. They just installed two additional 10-kilowatt units, so they have three in total launching new products domestically. And we anticipate Calbee based on some of their purchase order requirements, scaling up to large scale machinery within the calendar year. We're also active in Thailand, Singapore, Indonesia, and of course, Australia and New Zealand. The next question was, "Hey, do you think that your technology might have the potential to improve the vaccine production in the current pandemic? Or is this evaluation analysis still too early stage to target such a goal?" And simple response is that, yes, it's too early to target such a goal. As we mentioned, we're very active with Merck and GEA, collaborating on the scale up of the machinery that Merck is currently using for vaccination testing. Within the calendar year here, we should get note back from Merck, after they can confirm a robustness test on the machines they own. And if successful, then we will work with GEA to deliver a larger scale unit for potential Phase 1 clinical trials. Next question is, "Does the NutraDried strategy mean that there will be no further expansion of its own branded products?" And the answer to that is, no. As mentioned by Dan, we're pursuing both strategies. The goal is to accept and confirm capacity utilization by whatever means necessary to absorb fixed overhead costs and to drive profitability within that business unit. We also see NutraDried as a pseudo REVworx now in terms of being able to leverage those machines, to allow other companies to bring products to market and that's to benefit EnWave long term. Next question, "Does the management team still consider EnWave an equally three-legged revenue sourced organization, i.e. machine sales, royalties, auto-fed machines and Moon Cheese? Is this change to just machine sales and royalties exclusively?" No. No, we're still very much focused on driving revenues from NutraDried, albeit not necessarily purely from the sale of Moon Cheese. As we talked about private label and white label opportunity, will also complement sales in Moon Cheese going forward. And with that, there are no further questions submitted via webcast. So I'll pass it back to our operator to close off the section of the call.
Operator: Thank you. [Operator Instructions] Charleton, do you have any closing comments today?
Brent Charleton: I just see that maybe Steve Hansen has one additional question, so we can throw it back to Steve, if he wants to pose that before we close it off.
Operator: Certainly. Steve Hansen, please go ahead with your follow-up question.
Steve Hansen: Yeah, thanks, Brent. It might be too early here, I'm not sure. But can you just give us a sense for the private label opportunity? You described earlier that the sales channel is slightly different and the customers are slightly different. But you had a chance to sort of scope or size out that opportunity, as you see it? Like, could you -- can you fill up the balance of your capacity here over the next 18 months? Or how should we think about the pace of the cadence of that opportunity evolving?
Dan Henriques: Yeah, Steve, it's a big opportunity. We've had in years past many companies come and seek out bulk supply of REV-dried products from NutraDried. And at different points in our existence, we haven't had the capacity to service it. Today, we do you have the capacity. The opportunity is large in that, you know, there's many -- the product is very diverse, and has a number of applications. It doesn't just have to be Moon Cheese in the form that we're selling it. There's combinations with other ingredients; ingredients inclusion, salad toppers. There's many ways you can use this product. So we're going to source out opportunities that won't damage our Moon Cheese distribution. The brand is still a big important focus for us. But we think there's bulk opportunities out there that can be complimentary to what we're doing with Moon Cheese.
Brent Charleton: Yeah, and add on to Dan's response, we're also looking at different dairy snack applications, including yogurt, snacks and others. So there should be some complimentary opportunities forthcoming.
Operator: Mr. Charleton, did you have any closing comments today?
Brent Charleton: I'd just like to thank everybody for joining us on our first quarterly earnings conference call. We look forward to touching base again on a more regular basis throughout the year. And at this time, you may now disconnect.
Operator: Thank you for your participation. You may disconnect your line to log off the webcast at this time, and have a wonderful day.